Operator: Welcome to the Globus Medical’s Third Quarter Earnings Call. At this time, all lines will be on mute and a Q&A session will be held after the prepared remarks. Joining today’s call from Globus Medical will be David Paul, Chairman and CEO; Dave Demski, President and COO; Richard Baron, Senior Vice President of Finance and CFO; and Ed Joyce, Investor Relations, Director. I will now turn the call over to Ed.
Ed Joyce: Thank you for being here with us today. I will now read our required legal disclaimers. During this call, certain items may be discussed that are not based entirely on historical facts. These items should be considered forward-looking statements and are subject to many risks, uncertainties, and other factors that are difficult to predict and may affect our businesses and operations. As a result, our actual results may differ materially and adversely from those expressed or implied by our forward-looking statements. A discussion of some of these risks, uncertainties, and other factors are set forth in our Form’s 10-Q and 10-K on file with the SEC. These documents are available at www.sec.com. We undertake no obligation and do not intend to update any forward-looking statements as a result of new information or future events or circumstances arising after the date on which it was made. The financial information discussed in connection with this call reflects estimates based on information available at this time and could differ materially from the amounts ultimately reported in our third quarter 2013 Form 10-Q. On this call, we will also discuss certain financial measures that are not calculated in accordance with generally accepted accounting principles or GAAP. We believe these non-GAAP measures are useful as an additional measure of our performance. Non-GAAP financial measures have limitations as analytical tools and should not be considered an isolation or a substitute for financial measures prepared in accordance with GAAP. Comparable GAAP financial information and a reconciliation of non-GAAP amounts to the GAAP amount can be found in the tables included in today’s earnings release, which is available on the Globus Medical Investor Relations web page at www.globusmedical.com. I will now turn the call over to Dave Demski, President and COO.
Dave Demski: Thanks, Ed, and welcome to everyone on the call. We’re very pleased that our third quarter results sales of $107.2 million were up 13.1% over the third quarter of 2012. The third quarter is traditionally a challenging time of the year as surgical volumes typically slow due to summer vacations. Our strong growth this quarter reflects consistent, sustained execution of our strategy. We’ve had several exciting product launches this year and David Paul will comment on some of the more significant ones in his remarks. We continue to recruit sales professionals in the US at an unprecedented pace. Both the quality and the quantity of our recruiting efforts remain at very high levels. As we mentioned last quarter, this surge in recruiting is going to put pressure on our EBITDA margins in the short term as new reps typically take up to 18 to 24 months to produce at efficient volumes. However, this investment along with new product introductions is the foundation on which our future growth will be built upon. Revenue from international operations grew 19.1% in Q3 over the comparable period last year. This was very encouraging and bodes well for our international growth. We also continue to see improvements in efficiency and increased contributions to overall profitability from our OUS business. Profitability in the quarter remained robust with an adjusted EBITDA margin of 33.4% as compared to 35.1% in Q3 of 2012. The medical device tax negatively impacted Q3 adjusted EBITDA by 1.8 percentage points. Our ability to maintain healthy operating margins while simultaneously investing heavily in growth initiatives such as our US sales force expansion is directly attributable to our disciplined approach to spending. The results are not only evident in our EBITDA margins. We also produced a record $28 million in free cash flow this quarter. We continue to see generally positive momentums from the three P’s pricing, procedures, and PODs. Consistent with last quarter, pricing pressure remains in the low to middle single digits, somewhat improved from recent years. (Inaudible) pushback on procedures seems to head bottom. It’s not getting any worse, but not improving significantly either. We have not seen any specific impact from the recent Aetna policy announcement nor do we see this as a material threat in the long run. And finally, we’re pleased with the recent OIG report showing higher utilization and cost associated with PODs. We see this as yet one more data point in the growing momentum to eliminate this business structure from our industry. While it is impossible to predict the timing, the trend is clearly going in the right direction. This quarter marked the one-year anniversary of our IPO. In that year, we have consistently delivered industry leading top-line growth along with operating margins that are comparable to much larger companies. We’ve been able to do this by driving innovation across the portfolio aggressively adding to our sales footprint both domestically and internationally, all the while exhibiting fiscal discipline in our operations. We feel very confident in our ability to continue to execute on this strategy, thereby delivering exceptional financial results and driving additional shareholder value into the foreseeable future. With that, I will turn it over to Rick to discuss our financial performance in more detail.
Richard Baron: Thank you, Dave. Today. I will review our performance for the third quarter of 2013 as compared to the third quarter of 2012, for key elements of the income statement, balance sheet, and statement of cash flow. Our worldwide sales for the third quarter of 2013 were a record setting $107.2 million. This was an increase of 13.1% over the third quarter of 2012. Our growth continues to be the result of the ongoing execution of each of the drivers of our business, new product introductions, and continued expansion of the sales force. Our sales of disruptive technology products increased this quarter to $45 million or by 20.7% from the prior year's quarter. Innovative Fusion sales increased to $63 million or by 8.3% from the prior year's quarter. Sales in the United States for the third quarter of 2013 grew to $98.1 million or by 12.6% while international sales grew to $9.1 million or by 19.1% from the prior year's quarter. Overall growth in sales was attributed to expansion of both domestic and international territories and greater penetration into existing territories and countries. Gross profit for the third quarter of 2013 was $81.9 million or 76.4% of sales for the current year's quarter as compared to $75.9 million or 80.1% from the last year's third quarter. The percentage in the current year’s quarter was unfavorably affected by 1.8% or $1.9 million due to the medical device excise tax and approximately 0.9% or $1 million in cost relating to new systems launched. The remaining difference is a combination of increases and distribution, depreciation, and other costs. The cost of sales percentage was unfavorably impacted by increasing sales volumes for OUS, Algea, and Biologics; each of which have lower gross profit margins. We will talk in a few seconds about the leverage achieved this quarter in the OUS and Algea selling, general, and administrative expenses, which all sets this effect. Research and development expenses this quarter were $6.6 million or 6.1% of sales as compared to $7 million or 7.4% of sales for the same period in 2012. The change in spending does not signal a change in overall spend on R&D but is due to the timing of certain expenditures during the course of the year. Selling, general, and administrative expenses were $45.7 million or 42.6% as compared to $41.8 million or 44.1% for sales for the prior year’s third quarter. The percentage of sales is an improvement as compared to the last year’s selling general administrative expenses. The increase in SG&A dollars were primarily due to the increase in sales and related compensation which included the hiring of additional sales representatives. The improvement in the overall percentage was primarily due to the continued leverage of the OUS and Algea business models. GAAP operating income increased to $29.5 million or 27.5% for the third quarter of 2013. This was compared to the operating income of $27.1 million or 28.6% for the second quarter of 2012. Excluding the impacts of the medical device excise tax, the operating income percent would have been 29.3%. Adjusted EBITDA for the second quarter of 2013 was 33.4% or $35.8 million as compared to 35.1% or $33.3 million for the prior year's quarter. Without the medical device excise tax expense, the adjusted EBITDA would have been 35.1% or $37.6 million. The income tax rate for the current quarter was 31.6%. The decrease in the tax provision and the effective rate was primarily due to favorable effects of our domestic product activity’s deduction and the effect of disqualifying dispositions from incentive stock option exercises. Our provisional tax rate is approximately 34.6%. GAAP net income was $20.3 million or 18.9% of revenues. Earnings per fully diluted share was $0.22 per share in the third quarter of 2013 as compared to $16.5 million or $0.18 per diluted share in 2012. The change in the tax rate accounted for approximately $0.01 per share. Fully diluted share account for the quarter was $94.4 million and $92.7 million as of September 30, 2013 and 2012 respectively. Total cash and marketable securities balances combined were $263.8 million as of September 30, 2013 as compared to $231.7 million as of June 30, 2013. Our net cash increase for the third quarter was of $32.1 million. Cash provided by operating activities for the nine months ended September 30, 2013 was $60.8 million compared to $51.8 million for 2012. We are especially proud of this as by all measures, we had an excellent quarter and year thus far for this metric. The total investment in CapEx was $18.5 million and $17 million for the nine months ended September 30, 2013 and 2012 respectively, we continue to remain debt free. In terms of our revenue and earnings outlook for the year, we remained comfortable with our previous revenue guidance of about $432 million. We are increasing our non-GAAP EPS guidance for the full year to be $0.83 to $0.85 per share of common stock. I will now turn the call over to David Paul.
David Paul: Thank you, Rick. Good evening, everyone. We are pleased to report our third quarter performance. Once again our ability to consistently launch innovative products attract top sales force talent and maintain financial discipline has enabled us to deliver superior growth and profitability. In addition to our strong financial results, our sales force recruiting efforts continue to be particularly strong through the first three quarters of the year and with Globus remaining the destination of choice for the best sales talent in (inaudible). We launched five new products during the quarter, bringing our total launches through the first nine months of 2013 to ‘15. During the quarter, we launched CREO, our next generation pedicle screw platform, one of the most significant projects in our history. Our product development pipeline across all segments continues to remain robust and on track to launch more exciting new products in the remainder of the year and into 2014. One of our major undertakings this quarter as a company was the launch of CREO, our next generation pedicle screw platform. The CREO platform offers surgeons tremendous intraoperative versatility in the operating room to tailor each construct for the patient’s individual need, specific anatomy, and spinal pathology. The first two product launches within this platform are CREO and CREO AMP. CREO consist of a complete range of pedicle screw offerings for treatment of a variety of degenerative and deformity conditions. With polyaxial screws, monoaxial screws, hooks, connectors in 4.75 millimeter, 5.5 millimeter, and 6.35 millimeter rod diameters made from titanium, titanium alloy, cobalt chromium, and stainless steel. These screws have one of the lowest profiles on the market and the intuitively designed instruments enhance efficiency and use in the OR. The CREO AMP system consist of the same breadth of offering, but with modular screw heads. This enables the surgeon to decorticate and place bone graft in the lateral gutters of the screw insertion, but prior to final tightening. The screw heads are available in top-loading, side loading, and closed head options that enables flexibility in construct building based on anatomy and indication. Overall, the CREO system offers unmatched intraoperative flexibility. CREO enables surgeons to customize each construct to that individual patient’s needs. They can utilize any combination of side loading, top-loading, or closed-head screws in modular or pre-assembled options, as well as select from a wide range of rod sizes and rod materials to tailor the construct for that patient. No other system offers such a broad range of intraoperative choice, which is particularly important on complex deformity cases. Future additions to the CREO platform include several new systems including MIS, threaded screws, and cortical screws which will be rolled out in 2014. I’m also happy to report that we received five 10-K clearance for KINEX in the quarter, marking the first of a series of products in our biomaterials development pipeline. KINEX is an osteo assimilative synthetic biomaterial that includes all the necessary components for enhancing and stimulating bone growth. Its key component bioglass has long been known to stimulate and amplify cell activity for bone formation. KINEX has the highest bioglass content of any product on the market. KINEX also incorporates collagen, which acts as a scaffold for bone regeneration; and hyaluronic acid which may help promote angiogenesis. The proven osteo assimilatory properties of bioglass, the optimized scaffolding of collagen, and the angiogenic potential of hyaluronic acid merge to create a premier next generation biologic. KINEX is slated for launch in Q4 of this year. In summary, we continue to execute on our long-term growth strategy of rapid new product introductions and US and international sales force expansion while maintaining a laser focus on profitability and cash flow. We remain excited about our prospects in the remainder of 2013 and into 2014 as we continue to execute on our disciplined strategy of profitable growth. We’re now happy to take any questions.
Operator: (Operator Instructions) And your first question comes from the line of Matt Miksic from Piper Jaffray.
Matt Miksic – Piper Jaffray: Hi. Thanks for taking our questions. Can you hear me okay?
Unidentified Company Representative: Yes, Matt.
Matt Miksic – Piper Jaffray: So first, I wanted to get a sense of any particular drivers you can talk about. I know you mentioned continued execution. You’ve mentioned new product launches. You mentioned success and building the field force in your commentary. Can you talk how much of what you’re seeing, do you think is as sort of market related or do you feel like most of it is you’re outperforming the market, giving some color would be helpful. And then I have one follow up on the margins.
Dave Demski: Hey, Matt. This is Dave. I think we’re taking share, I don’t see a meaningful increase in the overall market. I think it’s slightly positive overall. So, to be up 13% in the quarter and for the year about the same amount, it means we’re taking share.
Matt Miksic – Piper Jaffray: Sure. I know that’s clear and just –- I’m speaking more about what the upside relative to our numbers and maybe where the Street was in the quarter right or wrong. Clearly, something went better than expected. But, on the margin side, can you talk maybe and this is just for Rick is to walk through maybe how the –- understand (inaudible), but the new product launch impact, is that in the form of E&O charges, is that in the form of higher depreciation in new sets or inventory. Can you talk about just -- help us understand that math a little bit? That would be very helpful.
Richard Baron: As you know, we’re calling out the device tax really only this year because by next year, the comps will be equal. The percentage picked up a little bit for us this quarter. Simply, it’s the combination of two things. We did a year-to-date reconciliation which is ongoing with the new process. So, it picked up a little bit that way. But it also ties to the volume of new product launches which ties to the uses of instrumentation and other such things. So, you won’t see it fluctuate any higher I don’t think, and it will range between where it’s been over the past two quarters and now, that’s one too. As far as the million dollars associated with new product launches, I called that out separately because we feel as though it’s really related to the volume of launches that were held this quarter. It wasn’t lumped in to depreciation and other such things as we don’t feel that’s an ongoing cost over the course of the next several periods. I wanted to isolate it so that as you look at our number and your numbers into the future, it’s not factored in as a permanent change.
Matt Miksic – Piper Jaffray: Okay, that’s helpful. Thank you.
Operator: Your next question comes from the line of Rich Newitter with Leerink Swann.
Richard Newitter - Leerink Swann: Hi. Thanks for taking the questions. Rick, just on that last point, so I just want to make sure I’m understanding it correctly. So, it sounds like a couple of those factors from the gross margin, the mix, the new product step up expense; those are fairly transient. And then, we should see gross margins move higher next quarter, is that more into kind of ‘14. When should we see that normalize a little bit more with the prior quarters?
Richard Baron: I think we’ve always felt comfortable with gross margin. Once you begin the device taxes in that 78% -78%, 77% -78% percent range, this fell slightly below it because of that one item. As I think it’s called out either in the script or will be in the queue tomorrow. We’ve launched about 15 products over the course of the year. The biggest concentration of those products, especially the biggest launch of this company’s history happened this past quarter. So you would expect something of that magnitude to effect somewhere and it really just simply affects the retooling, the preparation, and those types of things which we feel most comfortable lumping in the cost of sales as opposed to R&D or sales and marketing.
Richard Newitter - Leerink Swann: Just with respect to some of those products, particularly CREO, it sounds like a very interesting, exciting new option for physicians. Can you give us a sense of how that launch rolled out, what the timeline is? Should we think of that as a steady ramp, a bigger impact in '14 as soon as 4Q? How should we think about that?
David Paul: Rich, this is David Paul. We've begun the launch of CREO, two products into it now over the last three months. We're beginning to see very positive acceptance, but we continue to add more systems into this platform, so we see an ongoing impact into 2014. Clearly, it will have the biggest impact for us in 2014 of any product we introduce.
Richard Newitter - Leerink Swann: Okay that’s helpful. May be just one last one David. In biologics, that has been an area that you guys have been I think looking to fill some holes for a while to connect seems like the solution for now. But there's also an area that, I think, you are potentially exploring acquisition opportunities. Can you provide us just an idea of what made you decide with this product? I'm assuming an internal development versus external. What other areas do you think you might be looking at the next internal and/or external?
David Paul: Thank you, Rick. I think as we've always said, we know that this has been an underperforming area for us. About 18 months to two years ago, we put in place a robust internal development program to fill in some of these holes and create some products through internal development. But we've also been aggressively looking at options that are out there in the market for any type of bolt-on acquisitions and we continue to look at those. Hopefully, we'll be able to announce some of that when we get to that point.
Richard Baron: Rich, as we've talked about in the past, many of our decisions from internal make or build would be a build or buy type of tradeoff. For us to wait until the perfect property came along would not allow us to advance as quickly, so two years ago we decided that we would have the dual path which will continue into the future.
Richard Newitter - Leerink Swann: Great. Thank you.
Operator: Your next question comes from the line of Matthew O'Brien with William Blair.
Matthew O'Brien – William Blair: Good afternoon. Do you guys can hear me okay?
Richard Baron: Yes.
Matthew O'Brien – William Blair: Okay, thank you. I was hoping to talk a little bit about -- I know you don’t want to get into 2014 guidance by any means, but when you keep talking about all these sales force addition, you got a bunch of pretty exciting new products coming right now, I think Algea likely will pick up a little bit next year. Can you give us a reason why heading into next year we wouldn't see a pretty meaningful acceleration on the top line compared to what you've been doing in the last couple of years?
Richard Baron: Our growth over the past six quarters since we've been public has been about 12.5%, including this quarter. We'll start talking about guidance with our Q4 call as with the newly traditional for us, as we attempted to do the last year. A lot of the returns that you have with the sales force additions, I think Dave mentioned last time, take 12 to 18 months and we're seeing the fruits of those labors now with the ongoing 12%-12.5% growth into this year.
Matthew O'Brien – William Blair: Okay. Just on the profitability side, Rick, this is probably for you, you called out the CREO additional spend in the quarter, you're adding a bunch of additional reps. I think adjusted EBITDA would have been swinging the device tax would have been about the same before we had this time last year if not about 10 basis points higher. Can you quantify in total what that would have looked like excluding those others, the additional spending? And then just longer term, I mean, should we think about, well this is a 35% adjusted EBITDA type of business, any kind of upside to that number you're going to fall back in the business or do we think of the modest levels of expansion on that metric going forward?
Richard Baron: Yes. I actually make sure this time I called out the device tax metric. We're really only doing it for the last year. I know you all you guys have baked it into our adjusted EBITDA. When we run on the road, we felt that we were approximately at 35% plus adjusted EBITDA that was always without the inclusion of the device tax. So when you fully bake that in, we need to be looked at as about a 34%-35% adjusted EBITDA. Clearly, there are still lots of room for leverage of the Algea and the OUS model. However, as we said, what we feel we need to do is plough that back into the operations of the business, either in the form of R&D spend which again will fluctuate quarter to quarter based upon trials and big spends or the additional sales force hiring. Clearly, with the way that we have hired this year the leverage we've gotten off of the model still puts us within the consensus of where we are on the operating margins and adjusted EBITDA. So I think the model works very effectively on the way that we have it. We're going to take it and reinvest and get another shot and goal that’s kind of the monitor here.
Matthew O'Brien – William Blair: Okay. Thank you.
Operator: Your next question comes from the line of Chris Hammond with Goldman Sachs.
Chris Hammond – Goldman Sachs: Hey there, guys. Can you hear me okay?
Richard Baron: Yes, Chris.
Chris Hammond – Goldman Sachs: Great. Thank you very much for taking the questions. A couple of questions here. At the beginning of the call, I know that you mentioned that you had not seen any impact from the other change thus far and we were really wouldn't expect to see that and not going to effect by the close of the quarter. Is there any -- hoping you guys have quantified at all, what percentage of revenues that you think would be exposed to any kind of change by Aetna? What also – what your outlook would be for the likelihood that other payers could adopt a similar coverage policy?
Dave Demski: Chris, we don’t have a lot of visibility into who our customers or behind our customers. We sell to the hospital so we don’t know necessarily the insurance care behind it so I can't really quantify the exposure to Aetna. We think that there is very little likelihood of that being adopted by other carriers. (inaudible) the cervical spine is well accepted among all surgeons as an effective treatment option. I don’t see it being an impact really in the medium terms or long term.
Chris Hammond – Goldman Sachs: Okay, great. Thank you. Just a quick followup for Rick on the financials here. I know that people keep coming back to the $1 million in incremental spend on the COGS line. But I'm a little curious or may be I'm not really understanding as to why this incremental cost would be more transient in nature. I mean, we've always talked about part of business model being very [subtle] about rapid product development, bringing new products to the market, so I'm not sure that I understand why CREO would be materially different from other products that you guys have rolled out. What does that imply for other products that you guys have in the hopper on a forward basis?
Dave Demski: You're right and that we're going to introduce products on a regular basis and there are always costs associated with it. The dollar volume over the launch of this quarter was particularly high and it really was related to. We don’t anticipate that sort of investment in the next two or three quarters.
Richard Baron: In prior quarters and every other quarter that you’ve seen, those launch costs, wherever they would fall, either in sales or marketing PD or in the cost of sales have been tucked in neatly into. The quarter of these were unusual cost if you would, not a course in the accounting term sense, but just unusual and more or less things that we don’t expect to repeat.
Chris Hammond – Goldman Sachs: Got you. Great. On the sales force edition, is there any type of metric that we can hang our hats on it you guys are targeting for an exit rate for '13 or any type of targets that you can share with us for head count additions in '14 at this point?
Dave Demski: We're still not sharing any of the specifics around the head count.
Chris Hammond – Goldman Sachs: Okay. I had to try. Thanks for taking the questions.
Dave Demski: Understood.
Operator: Your next question comes from the line of Bill Plovanic with Canaccord.
Bill Plovanic - Canaccord: Great. Thanks. Good evening. A couple of questions. First is, we've seen the innovative fusion line growth accelerate the past couple of quarters. Is that a function of the commercialization of CREO or any specific product line?
Richard Baron: It would be way too early for that to be a conclusion. That line will ebb and flow as we've said over the past. But what it also is as we bring on those experienced reps, the distribution of their business is just not incremental to disruptive technologies. It will be bringing on their full line, their full bag. So as you begin to feel the effect of those reps bringing on business, you're going to get it proportionate across all lines of business of which their biggest product line is going to be the innovative fusion, pedicle screws and other such things. It's more a confirmation of the strategy I think than it is anything that has a negative trend in the business.
Bill Plovanic - Canaccord: Basically, some of the reps you brought in a little while ago, we haven't seen CREO yet that would be even more additive to that innovative fusion line as we go forward, and LATIS would be a disruptive technology product, correct?
Richard Baron: Correct. Understand that with the way that we both grow products and introduce products to surgeons -- attracts sales people with those new products. Those new products also cannibalize the existing line, so part of CREO's success is also going to be simply that old cannibalized alignment hasn’t been replaced I think or truly updated from start to finish in approximately six years, so that also adds to the magnitude of this project and its overall impact to the entire business.
Bill Plovanic - Canaccord: Have we seen an impact from the LATIS product yet? Because that was just recently launched as well.
Richard Baron: We’ve done what we would consider to be the appropriate number of cases for our product, like LATIS and not to surprise you with the way I'm going to describe it, it is clearly along the lines of a single. So, we're out there and it's been a nice product for us.
Bill Plovanic - Canaccord: Okay. And then as we think of the sales force expansion, you’ve come back to this team and again and again, is there a way to think about going forward you have an incremental spend associated with it that we're most likely not to see leverage in the line versus adding cost to the line, the SG&A line that is?
Richard Baron: It's an interesting different type of a question. I think you probably would have seen a bit more leverage in the line only because you're bringing on some bigger names with a fixed cost for a period of time. Even though that’s a fixed cost over time, they start to sell so you do see the leverage in the line. It's a little bit fleeting. It moves from quarter to quarter, year to year. Bill, in the normalized number that we've all talked about over time, that number in a normalized period is pretty well baked in. We're just making sure that the hiring has been good and that is it may have a slight drag temporarily.
Bill Plovanic - Canaccord: Okay. Then last simple question for you Rick is, tax rate obviously was low this quarter, helped you out. What's the full year tax rate for 2013 going to be?
Richard Baron: The provisional rate is 34.6%. The full rate year you should expect it to resume to that next quarter or the major change between that 34.6% and the 31.9% or 32% really has to do with reconciliation items from a book financial perspective to the tax return. We were able to take advantage of certain things and after and all of those things that have confused at this year, next quarter we'll look at it from a 35%, 34.6% range.
Bill Plovanic - Canaccord: 35% for the quarter.
Richard Baron: Yes. It will be weighted -- I didn’t do the weight for the year.
Bill Plovanic - Canaccord: Okay, great. Thank you very much and congratulation on a solid quarter.
Unidentified Company Representative: Thank you, Bill.
Richard Baron: Thanks, Bill.
Operator: Your next question comes from the line of Ed Antoian from Chartwell.
Ed Antoian – Chartwell: Hi, guys. Two questions. May be just Algea breakeven, not breakeven, give us a little update what's going on there. And then I was a little surprised, Rick, you referred to LATIS as a single now and that’s all you expected to be or may be this thing get some legs and stretch it out to a double?
Dave Demski: I'll take that. We're not sharing profitability numbers on the Algea, so we continue to get some traction there, and as we've spoken of in the past, it's not what we expected a couple of years ago, but it is getting a little better. In terms of LATIS, we just – we’re not going to get into predicting and get too far ahead of ourselves. We were very happy with the product. The performance clinically has been great so far. It always takes a while to work through hospital administrations and new product committees to get products going but we’re -- we have a lot of -- we have – we think this is going to be a very good product.
Ed Antoian – Chartwell: Thanks.
Operator: Your next question comes from the line of Steven Lichtman with Oppenheimer & Co.
Steven Lichtman – Oppenheimer & Co.: Thank you. Hi, guys. We have just one question area on the SECURE-C. Maybe you can give a little color on the training there and then with Mobi-C getting the two-level indication, how do you see that playing out competitively over the next couple of years in your guys’ ability to get into those multilevel type of cases? Thanks.
David Paul: Thank you, Steve. I think the data that we have for SECURE-C is extremely strong. We have continued on our path of training surgeons. Month after month, we continue to train more surgeons on the use of SECURE-C. We’re happy with the results that we see in the clinics. Maybe going back to Rick’s analogy, it’s seems to be getting to be a strong single, and I think the biggest impediment for SECURE-C is really going to be reimbursement from insurers. That is really the biggest impediment for growth and reimbursement for the hospital, for the procedure, and then reimbursement for the physician. So, the physicians still are reimbursed more for an ACDF,and that is partially the reason why the adoption hasn’t been as robust. The clinical data on SECURE-C has been phenomenal. We continued to see great results as we go into the longer-term outcomes. We’re looking at five-year data and seven-year data now, and it continues on a really promising trend. And so hopefully, these reimbursement hurdles are lifted then we can see tremendous increase in sales. You want to add anything, to it?
Dave Demski: Yes, I think in terms of the two-level, I’m not sure that’s very meaningful. If you look at the market today, and ProDisc really dominates it. I would say a lot of their cases are multilevel. So, the indication doesn’t necessarily dictate what the surgeon does.
Steven Lichtman – Oppenheimer & Co.: Okay. Thanks, guys.
Operator: There are no further questions at this time. Do you have any closing remarks?
(Dave Demski): No. We would like to thank everybody. Okay. Thank you all for being on the call.